Operator: Greetings and welcome to Lithia Motors Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host, John North. Thank you. You may begin.
John F. North - Vice President, Finance and CAO: Thanks and good morning. Welcome to Lithia Motors second quarter 2016 earnings conference call. Before we begin the company wants you to know this conference call includes forward-looking statements. Forward-looking statements are not guarantees of future performance, and our actual results of operations, financial condition, liquidity, and development of the auto industry and markets in which we operate may differ materially from those made and/or suggested by the forward-looking statements in this call. Examples of forward-looking statements include statements regarding sensitivity of earnings and changing vehicle sales environment, expected operating results, projections for our 2016 performance, expected increases in our annual revenues related to acquisitions, anticipated availability from our un-financed operating real estate and anticipated levels of future capital expenditures and free cash flow. We urge you to carefully consider this information and not place undue reliance on forward-looking statements. We undertake no duty to update our forward-looking statements, including our earnings outlook, which are made as of the date of this earnings release. During this call, we may discuss certain non-GAAP items such as adjusted net income and diluted earnings per share, adjusted SG&A as a percentage of gross profit and adjusted pre-tax margin. Non-GAAP measures do not have definitions under GAAP and may be defined differently and not comparable to similarly titled measures used by other companies. We caution you not to place undue reliance on such non-GAAP measures, but also to consider them with the most directly comparable GAAP measures. We believe the non-GAAP financial measures we present improve the transparency of our disclosures, provide a meaningful presentation of our results from core business operations, because they exclude items not related to core business operations and improve the period-to-period comparability of our results from core business operations. These presentations should not be considered an alternative to GAAP measures. A full reconciliation of these non-GAAP items is provided in the financial tables of today's press release. We have also posted an updated Investor Presentation on our website, lithiainvestorrelations.com, highlighting our second quarter results. Presenting the call today are Bryan DeBoer, President and CEO; and Chris Holzshu, Senior Vice President and CFO. Also, in the room is Sid DeBoer, Chairman of the Board. At the end of our prepared remarks, we'll open the call to questions. I'm also available in my office after the call for any follow-up you may have. And with that, I like turn the call over to Bryan.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thank you, John. Good morning and thank you for joining us today. Earlier we reported second quarter adjusted earnings of $1.96 per share, compared to $1.86 per share last year of 5%. Net income was $15 million and all business lines grew resulting in a 7% increase in revenue to $2 billion in the quarter. All numbers from this point forward will be on a same-store basis. In the quarter, new vehicle revenue increased 2% driven by higher average selling prices. Our unit sales were essentially flat and performed better than national unit volumes was decreased or tends to a quarterly SAAR of 17.1 million. Our domestic unit sales decreased 2% equivalent to national; import increased 2% compared to 1% increase nationally and luxury units decreased 4% compared to a decrease of two-tenth nationally. Gross profit per new vehicle retailed was $2,015 compared to $1,976 in the second quarter of 2015, an increase of $39 per unit. Both domestic and luxury gross profit per unit increased, which was partially offset by lower import gross per unit. Retail used vehicle revenues increased 10%. 9% from increased units and 1% from increased selling price. Our used to new ratio was 0.77:1. In the quarter, certified and core units both increased to 11%, and Value Auto units increased 2%. Gross profit per unit was $2,434, compared to $2,547 last year, a decrease of $113, as we continue to pursue a volume strategy. On a 12-month rolling average, we sold 64 used vehicles per store, per month, up from 59 units in the comparable period last year. We continue to make incremental progress towards our goal of selling 75 used units per store, per month. Our F&I per vehicle was $1,273 compared to $1,213 last year, or an increase of $60. Of the vehicles we sold in the quarter, we arranged financing on 74%, total service contract on 44% and total lifetime oil product on 27%. Our penetration rate and profitability improved in all three categories over last year. Only a few DCH stores have recently offered the lifetime oil products, so the blended penetration in this category is below our historical average. In the second quarter, the overall gross profit per unit was $3,493 compared to $3,449 last year, an increase of $44 per unit. This was complemented by a 4% increase in combined unit volume. As we have previously discussed, our store personnel focus on total gross profit generated rather than the margin percentage to evaluate and drive their performance. Our service, body and parts revenue increased 7% over the second quarter of 2015. Customer pay work increased 6%, warranty increased 14%, wholesale parts increased 1%, and our body shops increased 13%. Our total gross margin was 15.1% compared to 14.9% from the same period last year, an increase of 20 basis points. As of June 30, consolidated new vehicle inventories were at a days supply of 77, an increase of 12 days over a year ago. Used vehicle inventories were at a days supply of 57, an increase of three days from a year ago. The stop sale order affecting new and used vehicle inventories is approximately 1,100 units and will likely be retailed by year-end. We appreciate the support our manufacturer partners have provided in floor plan and depreciation assistance on this inventory. Though some have expressed concerns about the slight year-over-year decline in SAAR rates, if approached properly, we believe this could be a benefit. We have performed a sensitivity analysis on our earnings assuming both an increasing and decreasing SAAR rate to demonstrate the resiliency of our earnings model that Chris will provide more detail on in a few minutes. However, we believe the most likely scenario is a sustained new vehicle sales environment of around 17 million units in the coming years. This provides Lithia with several benefits, including a predictable and profitable cadence of new vehicle sales, complemented by incrementally higher service revenues as the vehicles sold over the past seven years age and require maintenance. Additionally, the increasing supply of used vehicles will drive further revenue opportunities. Most importantly, a static SAAR level will spur further acquisitions as the aging dealer body seeks the optimal time to retire. These factors increase our confidence in establishing a new milestone of $9 in earnings per share. This new milestone will be achieved through improvement in our existing locations and acquisitions activities in both the Lithia and DCH divisions. We continue to believe that our best use of capital is expanding our store base through disciplined, accretive acquisitions. We continue to focus our efforts on attracting and developing the best people in automotive retail. We believe continuing to foster a culture that inspires leaders to be entrepreneurial, unlocks their potential to find new and innovative ways to grow profitably at each of our locations. This culture is built upon best-in-class performance metrics that allow leadership to manage trends and leverage our existing management team for a stable and cost-effective growth. For the second year in a row, we were among the fastest-growing companies in both revenue and earnings in the Fortune 500. We remain convinced that attracting and developing the best people will drive our growth trajectory to continue past our $8 and now $9 EPS milestones, eventually taking us to our aspirational goal of more than doubling our current revenue base and earnings per share. With that, I'll turn the call over to Chris.
Christopher S. Holzshu - Senior Vice President, CFO: Thank you, Bryan. At June 30, 2016, we had approximately $150 million in cash and available credit as well as unfinanced real estate that could provide another $164 million in 60 days to 90 days for an estimated total liquidity of $314 million. At the end of the second quarter, we were in compliance with all our debt covenants. Earlier this week, we executed an amendment to our existing syndicated credit facility, increasing it by $300 million to $2.05 billion and extended the maturity to July 2021. The amended agreement provides for up to $1.3 billion in new vehicle inventory floor plan financing, $350 million in used vehicle inventory floor plan financing, and $400 million in revolving loan financing. The primary reason for the amendment is to provide new vehicle floor plan financing for future acquisitions. As Bryan mentioned in his remarks, we anticipate significant opportunity for acquisitions in the coming quarters, and therefore, believe it is an opportune time to secure incremental capacity to meet this demand, as we set our sights on a $9 earnings milestone. We also wish to thank our 18 commercial lending partners for their unwavering support to provide us ample credit and attractive terms as we continue to grow the organization. Our free cash flow, as outlined in our Investor Presentation, was $55 million for the second quarter of 2016. Capital expenditures, which reduced this free cash flow figure, were $27 million for the quarter. Even with significant capital expenditures on recent acquisition and lease buyouts, we expect to generate $160 million in free cash flow for the full year. Our annualized net debt-to-EBITDA is approximately 1.8 times, among the lowest in our sector and providing ample liquidity to complete acquisitions and/or share repurchases. We have been opportunistic buyers of our stock in 2016, deploying nearly $100 million year-to-date as we repurchased over 1.2 million shares or roughly 5% of our outstanding float at an average price of $78 per share. After these repurchases, we have approximately $200 million remaining under our current authorization and will remain opportunistic on repurchases in the future. Our capital strategy is unchanged as we balance accretive acquisitions, internal investment, dividends and share repurchases. Our first choice for capital deployment remains to grow through acquisitions and internal investment. But regardless of category, all investment decisions are measured against strict ROE metrics that generate solid long-term returns. Our second quarter adjusted SG&A as a percentage of gross profit on a same-store basis was an estimated 66.3%, an increase of 20 basis points over the second quarter of last year. Throughput, or the percentage of each additional gross profit dollar over the prior year we retain after selling cost and adjusted to reflect same-store comps, was 29%. On a consolidated basis, including the effect of recent acquisitions, our adjusted SG&A as a percentage of gross profit was 66.9%, an increase of 30 basis points from the second quarter of 2015. As Bryan mentioned, we have performed an analysis of our earnings levels, assuming SAAR increased to 19 million or fall to 15 million and adjusted our used unit F&I level and service revenue to reflect the likely impact under these scenarios. More importantly, we've modeled anticipated acquisition revenues in both SAAR environments based on our expectations that the cadence would increase if SAAR levels were to decline. Under these assumptions, which are outlined in our Investor Presentation, our upside earnings estimate at a 19 million SAAR is $11.20 per share. Out of 15 million SAAR, our downside earnings estimate is $6.75 per share. While we continue to believe the most likely scenario is a sustained SAAR around 17 million, we believe it is important to provide indications of our ability to grow revenue throughout the SAAR cycle and to demonstrate why we remain optimistic about the future. Our store management continue to challenge their teams and examine their operations to maximize top line sales while ensuring the results fall to the bottom line. Given the current trends and market conditions along with the impact of our repurchase activity, we're introducing third quarter 2016 earnings per share of $2.11 to $2.15 and increasing our full-year guidance to $7.50 to $7.65 per share. For the additional assumptions related to our earnings guidance, please refer to today's press release at lithiainvestorrelations.com. This concludes our prepared remarks and we now like to open the call to questions. Operator?
Operator: Thank you. Our first question comes from Rick Nelson with Stephens. Please proceed with your question.
Nicholas Todd Zangler - Stephens, Inc.: Hey, guys. This is Nick Zangler in for Rick here. Just wanted to touch last quarter due to the higher personnel and advertising costs, the reduced flow-throughs and I think it was maybe 10 stores. You talked about potentially leaving $0.17 on the table. And I think you highlighted the markets including Alaska, Texas, California, Oregon. Can you talk about the progress you made over the last quarter in adjusting those operating models within those markets? And is there more upside available for adjusting cost structures in the most parts?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Nick, this is Bryan.
Christopher S. Holzshu - Senior Vice President, CFO: This is...
Bryan B. DeBoer - President, Chief Executive Officer & Director: Go ahead. Sorry.
Christopher S. Holzshu - Senior Vice President, CFO: Yeah. Thanks, Bryan. Yeah, this is Chris. So, Nick, I think what we recognize is that there were definitely some opportunities in Q1 as we highlighted. And we are working through some adjustments and some of those key markets. And I think we made some great progress in several areas. As we mentioned, our throughput on the additional gross that we generated, which was about $15 million on a quarter-over-quarter basis over last year, was about 28%. However, had we adjusted for a couple of discrete items related to some hail damage that we had seen in several stores and discrete advertising spend that we had in some reclasses, our throughput would have been lower with that 45% to 50% target. And so, as we move forward and as sales moderate, to some extent, that throughput on a same-store basis becomes a little less relative. And what we're going to continue to do is focus on driving down our leverage by focusing on that SG&A to gross target, which we believe can fall definitely in that 65% range in the midterm. So saw some great improvement. And we'll continue to focus on the opportunities that we see in front of us.
Nicholas Todd Zangler - Stephens, Inc.: Great. And then, I guess, somewhat related, Texas market last quarter, I think you said profitability was down 10% – or 20%. I know there's some new vehicle sales are weaker in that market, but you highlighted the used vehicle opportunity, but you said that it required a shift in mindset in that market. Just curious about the progress made on refocusing on used vehicle sales and how those have trended, impacted the quarter?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Nick, this is Bryan. Texas is starting to turn a little bit. They were still down a little bit in sales. And their profits were still obviously down. But their ability to start to learn again about used vehicle sales is starting to take hold. We're excited to see what's happening in other energy states as well. Though Alaska was down a couple percentage points, their earnings were down, too, as well, which is more indicative of what we'd like to see that if revenues go down then earnings go down about the same unlike where Texas didn't have the ability to adjust with and replace really new vehicle sales with used vehicle sales. They're starting to grasp that. On a positive note, Montana was up 18% in revenues and they were up 22% in profit, which is more indicative of what we believe should occur when new vehicle sales begin to flatten that you can replace those quickly with the other businesses of used vehicles and service and parts.
Nicholas Todd Zangler - Stephens, Inc.: Great. And then, just finally, on the commentary around flattening or a plateauing SAAR, if you look back at 2009, new vehicle margins have decreased each year, and obviously, at the same time, new vehicle unit sales have increased. But in a plateaued environment going forward, if it's going to last for several years, do you feel that we can finally see margin to stabilize or even it's flat at least on a new vehicle basis going forward? I know there's been increasing pricing transparency and Internet shopping and comparisons there. But curious of your outlook on new vehicle margin in what could be a prolonged plateaued environment? Thanks.
Bryan B. DeBoer - President, Chief Executive Officer & Director: This is Bryan again. I think when we begin to look at SAAR, the important thing to remember is a sudden impacts in SAAR can be difficult to adjust to rapidly. But when you're looking at a slight increase or decrease like what we've been seeing, the implications of that are pretty minimal. So I think when we look at our sensitivity analysis, we're looking at extremities where both the 15 million and the 19 million SAAR are very unlikely. The 17 million SAAR in that environment, we believe, we continue to grow earnings through increased used vehicle sales, focusing on that 75 units that we just achieved a 64 unit count. That can help drive us, plus capturing all that service and parts units and operations that are sitting out there will take us into a stable type of environment whether it is just a little up or down.
Nicholas Todd Zangler - Stephens, Inc.: Thanks a lot, guys. I appreciate it. Good luck.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Nick.
Operator: Our next question comes from James Albertine with Consumer Edge Research. Please proceed with your question.
James J. Albertine - Consumer Edge Research LLC: Thank you for taking the question. Good morning, gentlemen.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Good morning, Jamie.
James J. Albertine - Consumer Edge Research LLC: Wanted to ask quickly, if I may, as a follow-up. I think one of the most striking metrics that you talked about, or you reported here in the second quarter, just in light of some of your peer results was the growth in used vehicle sales. And I think we're all trying to get a handle on, if we are in a plateauing new vehicle SAAR environment. Was there any pull-forward in the last few years from used to new? What's sort of the cross-selling that happens between new and used? Or are we just at the very beginning stages of unlocking demand for used vehicles in light of the ramping supply? And could that demand now carry us through the next few years? So just wanted to get thematically how you're seeing demand play out between new and used? And if there is, in fact, any cross-selling, or if it's a lot less than you think?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Jamie, this is Bryan. I think you've got a pretty good grip on what we're seeing. The used car supply that we spoke to last quarter is starting to loosen, which means, the units in operations that were sold and put into operations three years to five years ago is increasing. So we really believe that we have a great runway, because the supply of used vehicles is growing. We also believe that our future and our ability to take on market changes, the cyclicality, or the implications of that or volatility are reduced if you can sell used vehicles. With the supply of vehicles out there, it's been easier in many of our markets to be able to continue to grow profitability and continue to grow our used and/or service and parts space. And like we've talked about in the past, we believe that volume is a way to secure a stronger future. So the used car growth at 9%, I think, we worked for the quarter, we believe that those type of levels will be able to persist because of the supply is continuing to increase.
James J. Albertine - Consumer Edge Research LLC: That's very helpful. And if I may, you guys always do a great job on your slides at breaking out additional data on service and parts and as well now on the sensitivity to SAAR. Just to play devil's advocate here, if I was to say 19 million is a little bit, I think, unlikely on the high side of your expectations. I look down at your service body and parts and see 4.5% growth as an upside target. Just wondering why you – or how you got to 4.5%, and if we were, in fact, to take a little bit out of the 19 million, would you be inclined to put a little bit more growth into the service body and parts, just as we think about sensitivities in a stronger environment?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Jamie, this is Bryan again. If we look at the implications of what we were determining on at 19 million and 15 million SAAR, we really believe that the likelihood of a 19 million, maybe a little more likely than the 15 million SAAR, because there's still an aging of vehicle and disposal rates are still low. So the aging vehicle has increased. So that's -c plus technology has increased, sustainability in vehicles is still being expected more, the ideas of autonomous vehicles, and so many other things are still driving that. That's a more likely scenario. When we look at the assumptions that we made. And I think they were 4.5%. The units and operations, which really we look at that seven years, so we're talking about steady state at 19 million or 15 million SAAR. The units and operations will stabilize. That's why, it goes down to about 4.5% rate on the top end. But also, if you notice, we still continue to grow our new vehicles obviously. But our used vehicles gets to 85 units a site, which we really think that if we do things right, that can happen in a 17 million SAAR. Now at a 15 million SAAR, I believe we went back to around 55 units at the downside risk. And that's clearly because if we go to our 15 million SAAR, that would be more consumer-driven. And there would be other implications occurring. Did that answer your question, Jamie?
James J. Albertine - Consumer Edge Research LLC: Got it. Absolutely. It sounds like the units and operations is really driving your estimates on service body and parts. And maybe, if I could rephrase it, it sounds like you are being a little bit more conservative on attachment rates for customer pay or at least some other parts of that business. Would that be fair?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Yeah. Well, you know what, we're always attach-conservative. I think the biggest difference in the drivers are there's a big inflection point that we really believe is occurring. When it comes to acquisitions, the idea that the SAAR could flatten or decrease slightly, right, creates this uncertainty that can break loose buyers. And we're starting to see that, which is kind of nice. And I think that's what we're trying to reflect in the sensitivity analysis to be able to show that we may only be able to buy $0.5 billion in a super-robust environment and then in a little less lucrative environment, we may be able buy tons of acquisitions. And I think that's the unique part about the illustration.
James J. Albertine - Consumer Edge Research LLC: It's very helpful for breaking this out for us. Sorry. Chris, did you want to add – I apologize. Did you want to add something?
Christopher S. Holzshu - Senior Vice President, CFO: No. Jamie, all I was going to say is that you got to point out what Bryan just ended with, which even on the acquisition side right now with our leverage ratio below 2 times, we have $300 million in liquidity. And we're going to generate over $150 million in free cash flow. Regardless of whether it's a 15 million SAAR or a 19 million SAAR, I think, we see a really bright future both on the organic growth opportunities that we have, and then, obviously, the continued growth through acquisitions in deploying that capital.
James J. Albertine - Consumer Edge Research LLC: Excellent. Well, gentlemen, I've taken more than my fair share of time. So thank you so much and I'll get back in queue.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Jamie.
Operator: Our next question is from Steve Dyer with Craig-Hallum. Please proceed with your question.
Steven L. Dyer - Craig-Hallum Capital Group LLC: Thanks. Good morning, guys.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hey, Steve.
Christopher S. Holzshu - Senior Vice President, CFO: Hi, Steve.
Steven L. Dyer - Craig-Hallum Capital Group LLC: I guess, I would just echo, I think, that illustration, that upside/downside illustration is fabulous, very helpful. And just following up on the acquisition question, I guess, maybe what are you seeing now versus what you were seeing six months ago at the beginning of the year in terms of valuation debate? Have they moderated with expectations at all? Or are they still pretty high?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Steve, Bryan. I think if we look back six months, what we were seeing was a lot of activity, but pricing was out of the range of most buyers. But I think the difference that's occurring now is we've hit this point, where pricing is more closely mirroring what we're willing to pay. And I think we're going to continue to see that for the coming quarters. In our opinion, we think, it's going to be an extremely busy second half. And I think, most importantly, when we look at acquisitions, our return expectations are really high. And if we recall what those are, we expect 20% after-tax return on our investments. That combined with the idea that we buy most of our stores in rural markets, where real estate costs are fairly inexpensive, we really believe that when acquisitions come to be, Lithia is pretty darn close to a greenfield type of model because of that high return expectations, buying underperforming assets in rural markets at a low real estate cost.
Steven L. Dyer - Craig-Hallum Capital Group LLC: Got it. That's helpful. Ford mentioned this morning some elevated incentive activity and so forth throughout the industry. I'm wondering if you're seeing that, and to the extent, maybe it's helping or hurting, just any color there would be great. Thanks.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Steve, Bryan, again. I think, most importantly, some of that may be reaction to some of the other domestics that appear to have a pretty good start to the month of July. I think, most importantly, anytime there's a response at the levels that we're now starting to see, it's a benefit to the dealer body, because, typically, incentives are developed for the nation; they're not necessarily developed for the individual markets and any differences in what that supply and demand comes out to be reflects in our margins. So we believe that a little bit more competitive incentive environment could really help our second half.
Steven L. Dyer - Craig-Hallum Capital Group LLC: All right. That's great. Thanks, guys.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Steve.
Christopher S. Holzshu - Senior Vice President, CFO: Thank you, Steve.
Operator: Our next question is from John Murphy with Bank of America Merrill Lynch. Please proceed with your question.
John J. Murphy - Bank of America-Merrill Lynch: Good morning, guys. Just to add a follow-up on parts and service. Obviously, it was very strong in the quarter, particularly, relative to some of the other reports you've had. I'm just curious how you think that will trend as we go through the next couple of quarters and really the next couple of years, because the zero to five year old car part growth, it seems like there's incremental opportunity there and particularly could customer pay accelerate as warranty may fade?
Bryan B. DeBoer - President, Chief Executive Officer & Director: This is Bryan again. Thanks for the question, John. I think – I mean, our foundation for everything in service and parts is primarily a how do we respond to our consumers' need in a better way than what they expect. And I think our cultural transformation that began four years, five years ago, we really believe that we have the right people in our service drives to be able to respond to our growing environment. And those units and operations are the key drivers combined with our people's ability to attract and retain those customers. And those units and operations are going to continue to grow. We look at a seven-year to 10-year unit base to be able to determine our growth rates. And, yeah, our 7.5% was a little bit above our forecasted amount. But we still believe that the opportunities are there, it's how well we execute upon it.
John J. Murphy - Bank of America-Merrill Lynch: Right. And then just a follow-up on that. As we look at the airbags coming in and these vehicles coming off stop sales, will there be a surge at some point in the coming quarters in parts and service revenue, and profit off the back of that as that warranty work needs to get executed, and also, maybe a surge in used vehicle sales as those vehicles get cleared towards the end of the year?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Let me answer that, John, in two ways. I would say, in service and parts, it's a production business with only so many hours of labor. So a lot of times if you do get a surge in service and parts, the implications on customer pay are typically that they soften a little bit because there is only so many hours that you can produce. Now, we incentivize our people to work overtime and do those type of things. But I don't think we'll see spikes in parts and service. I do, however, believe in the used car part of the question that you could see spikes. We currently have almost 1,100 units in inventory. And as those parts become available, we really believe that the CR-Vs and the X vehicles from BMW will start to break loose. And we have pretty good pent-up demand. And those are really high demand certified vehicles that have customers waiting for them. So there could be surge in the second half so long as we see those parts coming at the greater rates than the large customers caught us first.
John J. Murphy - Bank of America-Merrill Lynch: And then, just lastly, there's a lot of concern and noise around the Chrysler sales reporting. I'm just curious from your perspective what kind of an impact that has on your sales and your reporting, and if there's anything we should be thinking about in the past quarters and actually in the coming quarters as far as the impact on your business specifically with your Chrysler dealerships.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Yeah. Thanks, John. To us, it's a non-event. This isn't something that we've ever seen or really feel like is part of retailing. I'm not sure where they're going on that, but for us, it's not something that how we manage our businesses.
John J. Murphy - Bank of America-Merrill Lynch: Great. That's good to hear.
Christopher S. Holzshu - Senior Vice President, CFO: Hey, John. This is Chris. Just to jump on that, John, obviously, this might be apparent. But we don't report a sale until it's delivered to the customer. So when we register and report it to the manufacturer, has no bearing on the way we report our numbers.
John J. Murphy - Bank of America-Merrill Lynch: Yeah. That's very good to hear. Seems like a very odd situation that they're dealing with. Appreciate it, guys. Thank you very much.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, John.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, John.
Operator: Our next question comes from Brett Hoselton with KeyBanc Capital Markets. Please proceed with your question.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Good morning, gentlemen.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hi, Brett.
Christopher S. Holzshu - Senior Vice President, CFO: Good morning, Brett.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Quick question for you. Actually same question (33:34) on the stop sale front, first is specifically, can you give us a sense of roughly on the new vehicle side and the used vehicle side, maybe what percentage of the cars are stop sale?
Bryan B. DeBoer - President, Chief Executive Officer & Director: Brett, this is Bryan. It's a 1,100 units. It's a couple of percentage points. I think, most importantly, the vehicles we're getting support from our manufacturers. So it's not impacting margins. And even, more importantly, those vehicles are starting to break loose and we're starting to get those parts in to be able to sell those.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: (34:11-34:16)
Bryan B. DeBoer - President, Chief Executive Officer & Director: That's correct.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: So it is though independent dealers who I presume are not going to get work who would basically be very interested in wholesaling those vehicles would likely supplies increase the price of these vehicles at purchase some of these vehicles at discount and its manufacturers supporting those, (34:40) you might be willing to carry more inventory (34:46), I mean, is any of that thinking going through your head or is it kind of point where you (34:51-34:58).
Bryan B. DeBoer - President, Chief Executive Officer & Director: I think it's fair to say that many of our stores are responding in the way that you spoke about as an opportunity. And I think, most importantly, to remember, all dealerships, no matter of size, or capital structure, receive the same type of incentives. So it's a competitive world out there. So if there was some opportunistic time, then everyone would be fighting under the same foundation in terms of getting flowing support and getting depreciation support from their manufacturers.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Yeah. I was thinking more along the lines of the independent dealers like maybe a CarMax.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Well, they absolutely don't have the advantages of us. That's exactly right. And that is probably over half of the buyers out there, competing for those vehicles.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Yeah. So then from a products standpoint, it sounds like, can you give us a sense of – I know this is difficult, Bryan, but of the 1,110 vehicles, based on what those (36:06) do you have a sense of when that flows really – when those parts are really going to (36:15) what are you being told at this point in time.
Bryan B. DeBoer - President, Chief Executive Officer & Director: So we're being told by both of the two prime manufacturers that the majority of the supplies were coming in in late summer, which is now. And we are starting to see that, which is good. They're also giving indications, because the scope is expanding that it may take until the end of the year or possibly even beyond for a portion of it. And I think what we're all starting to realize is that this is a continuous treadmill that we're on that I think they're still trying to get their hands around. And I think, ultimately, what benefits retailers is the idea that consumers try to come in at a consistent pace, meaning, we don't have the spikes that we were referring to a little bit earlier, because when we have the ability to have consistency we then have the ability to create new relationship and upsell other products to the consumer.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Is there an opportunity (37:27) what they do, say, if it's large enough, the retail along those lines (37:38).
Bryan B. DeBoer - President, Chief Executive Officer & Director: Let me rephrase that, Brett. So I think what you're saying is you just have one person gain efficiencies and get really good at it.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: I'm so sorry. I apologize, I interrupted there. Yes, (37:56-38:06) and try to get a larger percentage.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Okay. Well, there is no question that we solicit those recalls. And whoever is able to capture the customer and some of the manufacturers and provide a VIN number is the one that gets allocated the parts. These are almost like our early days when we had short supply of Civics or Accords, or those type of things, where whoever is the most efficient and the most diligent in finding the customers are going to get most of that business. Now to be fair, in the DCH division, that's what's occurring. In the Lithia division, we're typically the only manufacturer point in the market, if you recall. So in those markets, it's less important. However, we're still competing for parts against the metros that are more aggressive. So the Lithia division still has to do their diligence and still has to try to attract those customers.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Great. All right. Thanks very much for your time. I appreciate it.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Brett.
Operator: Our next question is from Paresh Jain with Morgan Stanley. Please proceed with your question.
Paresh B. Jain - Morgan Stanley & Co. LLC: Good morning, everyone. Bryan, let me go back to your comments on SAAR being in the 17 million range in the coming years. And if we go back to the pre-recession years, let's say, 2003 to 2007, we had a similar situation back then. SAAR kind of plateaued, and perhaps, even declined a little bit. What's your assessment of the health of the deal industry today versus those years, and specifically, Lithia's positioning today versus those years, and how do you make sense of the multiples being at a discount at that time period.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Yeah, this is Bryan. I think one of things that we did on the sensitivity analysis was to go back and look at three years ago, when we were at a 15 million SAAR and then add back acquisitions to be able to reflect on that. I think if we go back even further to pre-recessionary days, Lithia, as an organization, is a much different organization. And I spoke to this idea of we're in our fourth or fifth year of our cultural transformation, which means that the way that we operated stores yesterday are different than the way we operate stores today. Or, for that matter, different than how we expect to operate them five years from now. We're a very dynamic and nimble organization, whereas 10 years ago, our organization really believed that all stores should operate the same and that support services or corporate decided as to which direction stores would go. So the ability for us to respond to individual market conditions was very difficult in 2007 and 2008, 2009, because people were looking up for answers. Whereas today, our value systems are built on taking personal ownership, creating continuous improvement, developing customers for life and having fun, which allows our ability in the stores where decisions are made closest to the customer to be able to respond nimbly to local market conditions and local market competitors and local consumer trends. So I think we're way better prepared than we were 10 years ago to be able to approach and problem solve in that area. Plus we've now diversified where our portfolio is about one fifth Toyota, Honda, and Chrysler each, whereas going into that recession, we were almost 70% domestic. So those are all things that are healthy signs that these idea of a 15 million or 19 million SAAR can be approached and maximized by great execution.
Paresh B. Jain - Morgan Stanley & Co. LLC: Thanks for the color. So let me follow up on those sensitivities. Chris – thanks for sensitivities, by the way. They're very helpful. My question is, what kind of front-end yield do you see in both scenarios and what are the flow-through assumptions for each? If you can provide any color there?
Christopher S. Holzshu - Senior Vice President, CFO: Yeah. We left our margins somewhat similar, I mean, kind of like when we give out guidance, we didn't see that declining SAAR, improved margins although that's definitely an opportunity. If you have more time to work every transaction, you could see your overall gross profit dollars improve. But, for the most part, we left margins similar and we just pushed through the model, the items that we had. And, obviously, it's just a sensitivity analysis. Some things may dramatically move one way or the other. But to carry up with Bryan's comment, the other thing that we didn't have in 2008 was a leverage ratio that we have today. And so our ability to take advantage of SAAR environment of 15 million and the number of acquisitions that come to market, I don't think we can be positioned any better. And so we still feel like our organic business is going to do well. We have the ability to step in and buy the $2 billion in revenue that's laid out in the model and then generate cash flow that we can then deploy again. So this part of the color I can give you on that.
Paresh B. Jain - Morgan Stanley & Co. LLC: That's very helpful. Thank you.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Paresh.
Operator: Our next question comes from Michael Montani with Evercore. Please proceed with your question.
Michael Montani - Evercore Group LLC: Okay, guys.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Hi, Michael.
Michael Montani - Evercore Group LLC: Just wanted to dig to the margins a little bit, if I could. Looking at the new vehicle side in particular, you guys have posted some modest increases year-over-year in the first half for new vehicles. And, I guess, the guidance seemed to imply that that may actually decrease at a low-single-digit rate in the back half of the year. So just wanted to understand how you guys are thinking through that? And then a question on used.
Christopher S. Holzshu - Senior Vice President, CFO: Yeah, Michael. This is Chris. As far as the guidance is concerned, what we've seen is a little bit of volatility from quarter to quarter, so trying to forecast out exactly what's going to happen in Q3 and Q4 and round out year, I wouldn't say, it's an exact science. And so what I would say is our guidance philosophy remains unchanged. We look at our current trends in each of our stores and we roll forward the assumptions based on what we're seeing today. So if the guidance appears to come out different than it does based on what you saw in the quarter, it's clearly the way the volumes and the mix shift is. We expect to see more of the same moving to the second half year.
Michael Montani - Evercore Group LLC: Okay. And maybe if I could on the used side for a moment, there has been a little bit of pressure there just in the first half of the year on retail GPU for used. And I guess, the question would be, can you talk a little bit about CPO versus Value Auto and then the core auto product, what are you seeing for each of those lines? And what's going on in the competitive environment there that could influence that.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Michael, this is Bryan. I think, most importantly, we grew new vehicle top line unit sales by 9%. Our certified was a up 11%, core was up 11%, value was up 2%. We really believe that that increase greatly offsets whatever we may have lost in gross per unit. As well as, if you look at the F&I implications on it, we were up substantially in that arena as well, which drops right to the bottom line and helps with obviously our throughput in continuing to grow our consumer base. And we're real content with the direction on that.
Michael Montani - Evercore Group LLC: Okay. Thank you.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thanks, Michael.
Christopher S. Holzshu - Senior Vice President, CFO: Thanks, Michael.
Operator: There are no further questions. At this time, I'd like to turn the call back over to Bryan DeBoer for closing comments.
Bryan B. DeBoer - President, Chief Executive Officer & Director: Thank you for your questions today and I look forward to talking to everyone again in October.